Operator: Good day and thank you for standing by. Welcome to the ATN International Third Quarter 2021 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Justin Benincasa, Chief Financial Officer. Please go ahead.
Justin Benincasa: Thank you, Operator. Good morning everyone, and thank you for joining us on our call to review our third quarter 2021 results. With me here is Michael Prior, ATN's Chief Executive Officer. And during the call, I'll cover the relevant financial information, and Michael will provide an update on the business and outlook. Before I turn the call over to Michael for his comments, I like to point out that this call and our press release contain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operating results and are subject to the risks and uncertainties that could cause actual results to differ materially from those described. Also in an effort to provide useful information to investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our Web site at atni.com or to the 8-K filing provided to the SEC. And I'll at this time turn the call back over to Michael.
Michael Prior: Okay. Thank you, Justin, and good morning all. This quarter, we took some major steps forward in our strategy and ambition of connecting more communities and people to all the benefits of true high-speed data access. With the close of the Alaska acquisition early in the quarter, the completion of some fiber builds in the Lower 48 and continued expansion of our broadband networks and subscriber base in our Caribbean markets, we have made great progress, and we are having a very positive impact on communities long on the other side of the digital divide. The other significance of the integration of ACS is the growth of our platform. Our teams are working on ways to utilize the added scale to expand the breadth of our service offerings, raise the quality of the customer experience, and improve operating efficiency. While revenues grew nicely for the period, we did see another quarter of higher expenses in our International Telecom segment, and we expect that to continue to negatively impact the segment's EBITDA comparisons for the next quarter or so before revenue growth, and more normalized historical expense levels bring us back to more favorable year-on-year comparisons. Of course, from a consolidated standpoint, we expect to see strong year-on-year comparisons due to the addition of Alaska, as well as some growth we expect to deliver there. So, turning to some more details, starting with the International segment, the core value of this collection of businesses is the broadband and mobile subscribers served by our network infrastructure. Trends are good in both categories, as we see low churn are adding market share, and we're expanding and upgrading our networks to cover more households with high-speed data services. We added nearly 38,000 mobile subscribers in this segment over the past year, representing a roughly 13% annual increase. As investors may recall, we had set out more than a year ago to improve our mobile competitive positioning in certain markets, and we are pleased with the results of our efforts. Our broadband subscriber base also continues to grow. We ended the quarter with about 144,000 broadband subscribers in this segment, 5% higher than a year-ago. We expect to continue to grow this base in large part because of expansion of our network reach into new communities, including new residential developments in Guyana and some less-densely settled areas of the Cayman Islands. In addition to coverage expansion our broadband strategy includes a multi-year program to increase the data speeds we're capable of offering on our networks. At the lower to middle tiers of connected speeds, we typically pass along a speed increase to our customers without a change in the monthly service fee. But we are also seeing customers migrate to higher price plans to get additional speed boost. Expenses were high again for this segment compared to the prior year, as noted earlier. Many of the same factors are involved, the regulatory fee increase in Guyana late last year, and difficult comparisons with the unusually low expenses during the height of the initial outbreak of the pandemic, which is really the second and third quarters of last year. Well, there are a few areas where we expect the lower costs as we move into 2022 we see revenue growth as the main driver to increase EBITDA for this segment. And to do so, we need to maintain and continue to increase our core subscriber bases with similar or lower rates of churn and to pursue growth in the business and enterprise sector, particularly in Guyana, where we expect macroeconomic growth to increase commercial demand over both the near and medium-term. A rebound in tourism in places like the Cayman Islands would also be favorable to growth. Turning to the U.S. Telecom segment, the year-on-year impacts here are mainly driven by the addition of 10 weeks of Alaska communications systems. So, I'll start with adding some color there. As you may recall, more than 2/3 of the revenue generated from that business comes from wholesale, government and business customers. In this somewhat shortened quarter, we saw some slight shortfalls in some expected larger contract growth and some higher expenses in certain categories, but we're optimistic on both counts. We expect to see renewed growth from the government and Carrier segment in coming quarters, and we believe cost savings from the completed integration and some other initiatives will start to be reflected in our results in early 2022. In the meantime, we are pleased to learn that we are part of several awards of significant funding under the emergency connectivity fund. Together with our partners, we will connect student homes and a number of villages in two remote areas of Alaska. We are using a LEO satellite solution for much of this and expect to begin offering service within the next month. This is a nice win for the company and for these communities, and it is the result of the combined effort among ATN parent company personnel and ACS employees. We also continue to connect homes and businesses in the Lower 48 under previously secured subsidy programs, particularly in Arizona, as we complete new fiber builds and connect more homes to the high-speed fixed wireless solutions we built out late last year. Thanks to these efforts, and including Alaska, we now have about 58,000 broadband subscribers in our U.S. Telecom segment, which gives us over $200,000 for the company as a whole. As noted in our release, domestically, we are continuing to pursue subsidy programs and other strategies, as we look to connect more and more communities, homes and businesses. With additional government funding becoming available and our successful track record, we expect to achieve continued progress in this regard in coming quarters. In addition to the very positive and growing social impacts generated by that connectivity this strategy has the potential to create lasting value for our company. Additionally, by the end of the third quarter, we had completed and activated about half the total sites of our network build as part of the FirstNet agreement, and we should have about 65% done by the end of this year, as noted in the release. And we are pursuing other carrier revenue as well to service our areas well and enhance returns, our approach is to pursue carrier services revenue. That's tower backhaul, tower rental, middle mile transport, field maintenance, alongside our work to meet the data connectivity needs of local residents and businesses. The result, we believe, is a robust connectivity environment for the communities we serve. And covering that a little bit more and looking at it from a higher level perspective, we estimate that we pass more than 500,000 homes with our fixed data networks, with more than half of those in the U.S. many of those homes are passed by fiber or other services with the ability to deliver speeds from 100 megabits to one gigabit. In the first nine months of 2021 alone we upgraded over 100,000 homes passed into that category, and virtually all of our geographic expansions are completed with this capability. Our plan is to continue to add homes and communities passed and connected with an emphasis on higher speed services. We will also be connecting more schools, more commercial buildings and more towers, and we expect to report more detail around all those connections and our progress in future quarters. So, to sum it all up, we see a considerable runway ahead to drive revenue growth in both our International and U.S. Telecom segments and ultimately to leverage that growth into improved margin performance. And that's it for me. I'll turn it back over to you, Justin.
Justin Benincasa: Great. Thanks, Michael. For the third quarter, total consolidated revenues were $166.8 million, up 49% from last year and consolidated adjusted EBITDA was $36.8 million compared to $31.2 million. This growth primarily reflects our acquisition of Alaska Communications that closed on July 22 this year, providing an approximate 10-week contribution to our results. I'll speak more to the specifics of these comparisons as I cover the segment detail. Starting with the International segment, revenues were $85.3 million in the quarter compared to $82.5 million last year, and adjusted EBITDA was $26.9 million, down from $29.7 million a year ago. On the revenue side, subscriber and ARPU growth in several markets were offset partially by the anticipated reduction of FCC high-cost support in the U.S. Virgin Islands. In addition to the loss of the FCC support revenue, EBITDA was also reduced by higher regulatory fees, increased costs related to expansion of our managed service business and more normalized pre-pandemic cost structure across all markets, as Michael noted. Capital expenditures for the segment in the quarter were 10.6 and $32.5 million year-to-date. In the U.S. Telecom segment, revenues were $81.5 million for the quarter, up $53.4 million year-on-year of which $46.8 million of the increase was from the addition of Alaska and $6 million represented additional construction revenue related to the FirstNet project. As we noted in the press release, we are on track to complete about 2/3 of the $85 million construction project by year-end. Adjusted EBITDA for the segment was $16.4 million, up $8.5 million from last year, again, mostly due to the addition of Alaska, which contributed $10.6 million. Partially offsetting this was $2 million of increased expenses supporting our private network operations. As I've noted in the past, as we bring more FirstNet sites online and the mix of revenue moves from higher margin legacy wholesale roaming revenue to service and rental revenue, we will see a contraction in EBITDA margins. But along with that change in revenue will come a significant reduction in capital expenditures that previously was needed to support that legacy wholesale revenue. As we noted in the release, the Alaska results were consistent with expectations, and we expect the full-year results to be in line with the guidance from last quarter of revenue between $105 million to $109 million and adjusted EBITDA between 27 and $29 million. Capital expenditures in the U.S. Telecom segment this quarter were 17.4 and $36.2 million year-to-date. The Alaska operations added approximately $8 million in CapEx in the third quarter. A significant portion of the year-to-date spending outside of Alaska is related to building the backhaul and towers, as part of the FirstNet agreement. But as I just mentioned, once this build is complete in 2022, we expect very little capital spending over the term of that agreement. The consolidated net loss for the quarter was 2.6 and $0.22 per share and includes $1.6 million of non-cash stock-based compensation expense. As presented in our statement of operations, we had $3.5 million of amortization of intangibles from the Alaska acquisition, and we expect this expense to be approximately $13 million annually for the next few years. Looking at the balance sheet on September 30, we had total cash and cash equivalents of $101.3 million. Year-to-date, we've returned $13 million to shareholders in the form of dividends and share buybacks, and we also purchased $13 million in additional equity in our Bermuda and Cayman operations at an accretive value. Total debt outstanding was $348.8 million, including the Alaska non-recourse debt but excludes the FirstNet customer receivable credit facility. With a consolidated net ratio of under two times, ATN retains its strong balance sheet and financial flexibility that goes with it. And with that, Operator, I'll turn the call back for questions.
Operator: Awesome. [Operator Instructions] Your first question comes from the line of Richard Prentiss of Raymond James. Your line is open.
Richard Prentiss: Thanks. Good morning.
Michael Prior: Hey, Rich.
Richard Prentiss: Hey. A couple of questions, Michael, you touched on international markets and on the broadband side. I was a little surprised that in the 2Q and 3Q release the net adds in the data side of the broadband side was a little lighter than traditional there. How should we think about trend going forward, as far as data subscribers in the International segments, and related note, it looks like if you calculate a rough ARPU as far as fixed revenue divided by total fixed subs, it looks like it was down may be $1.5 quarter-to-quarter from 2Q to 3Q, anything to call out there?
Michael Prior: No. I think there's -- the mix is shifting. So, to answer the first part, though, there -- we do build out -- when we build out new areas, say, new fiber areas in places like Cayman Islands or Guyana, we will have a more rapid adoption rate. And then as those areas get to a better penetration rate, the net adds will slow down. I mean churn stays very attractive, but the net adds will slow down. And there is -- you know, but also what we're doing in some areas, Rich, we're converting lower speed subs to higher speed subs, which we think is quite valuable, but you won't necessarily see an ARPU lift in the short-term because of how we do it either promotionally or otherwise. But I think in the long run, you will continue to see sub growth, and will continue to see ARPU growth as well.
Richard Prentiss: Okay. On the U.S. side, obviously, you brought in Alaska, what should we think about what metrics you'll be able to report or how we can kind of monitor the company and model the company as you think about the Alaska operations? You did mention there's a big chunk in wholesale government, but what kind of metrics should we look for on Alaska?
Michael Prior: Well, yes, I think that is tRichy, because of the reason you're talking about because of the wholesale and government. I think some of the metrics that will matter are just the reach of the fiber network, which captures a large government and larger enterprise revenue and then fiber connected towers are also, I think, a significant metric. And then lastly, connected communities, and then connected businesses and connected homes will matter there too as well, even though they're a smaller part of the -- particularly on the residential side is a smaller part of the revenue. So, I don't think the metrics are much different than you'd see with other sort of U.S. wireline. The tRich is the significance of the fact that wholesale and government is such a big chunk of revenue. So, we'll be working further on that in terms of what we roll out.
Richard Prentiss: Okay, sounds good. And switching back to international, first I'd also ask, it sounds like margins will stay somewhat muted in the short-term with revenue growth slightly better margins in the future, but how should we think about aspiration to international markets. Are we heading going into the low-30% or below 30% range in the near-term and when you get back to mid-day result what kind of profile do you think of international margins?
Michael Prior: I don't necessarily want to give a target, certainly for the near term. But I think a healthy integrated telecom in those areas. Once you've gotten to maturity is certainly on the higher end of that range you're talking about, I think, is where I would expect to be.
Richard Prentiss: And last one for me, you touched on a little bit the opportunities of mid-model fiber, fixed wireless connectivity. How should we think about, again, kind of aspirationally, what you're thinking as far as putting capital to work? And I would also throw in maybe private network enterprise 5-G Systems, like you talked about with some of the band like. How should we think about aspirational CapEx spending and returns you might achieve?
Michael Prior: Yes, I think when we look at it, we want to -- when we're putting capital to work in these new areas we want to be sort of minimum mid-teens returns as targets. What we found with a lot of the build-out projects is the initial, especially, say, a new fiber build with anchor tenants. There are some you do on the lower end of returns on that initial contract because of the value of having build that asset and future revenue ads we can put on it. So, I think it depends on the situation. Then a lot of the things we are talking about recently, we actually have either committed spend by wholesale or enterprise customers covering most of the capital expenditure and in many cases, all upfront or we have government subsidies doing that or we have a combination. So, it depends. But in a lot of the cases, we have commitments or clear line of sight to cover the original CapEx right away, and then it's really about growing revenues on top of that.
Richard Prentiss: Any kind of goalpost, as far as how much money you might be thinking of spending on the CapEx side, as we look out over the next one, two, five years?
Justin Benincasa: Rich, I think we'll be better on that one in the fourth quarter to talk more about. Usually, when we kind of lay out the rest of the year, 2022. But I think directionally, Rich, I think we see a fair amount of opportunity. We look at every opportunity based on risk and return. But I would expect that we'll have opportunity to make some nice investments going forward to secure growth. And just our view is once you -- sort of the first to fiber or one of two large infrastructure providers for a community or a larger community, you are -- that's a very valuable asset with a lot of long-term earnings potential and cash flow potential, as well as sort of optionality to provide additional services. So, we're going to tend to lean forward into those opportunities, but we're still going to put them through the discipline of a conservative return analysis.
Richard Prentiss: Okay. Thanks guys very well.
Justin Benincasa: Yes, you too.
Operator: Our next question comes from the line of Greg Burns of Sidoti & Company. Your line is open.
Greg Burns: Good morning.
Justin Benincasa: Hi.
Greg Burns: How much FCC support revenue are you still getting in the U.S. Virgin Islands, like how much was in this quarter?
Justin Benincasa: Yes, we're getting about $10.9 million annually right now.
Greg Burns: Okay. And that one, just remind me what -- for what period it went down?
Justin Benincasa: It was about $16 million, and it drops by third year, and it started in July.
Greg Burns: Okay. And then, in terms of your broadband and, I guess, the initiative to kind of increase speeds there and drive ARPUs higher, like how much can you -- do you think you could add the ARPUs over time by increasing the speeds to the networks, to communities you serve?
Michael Prior: How much do we think -- I can't quantify. Did you say -- sorry, Greg, did you say?
Greg Burns: Like what's the average ARPU now? And what's the incremental kind of model you could drive through higher speeds?
Michael Prior: We don't publish an average or blended ARPU. It really depends on the communities, right? So, they're -- it really depends on communities. I expect, when you look at where we are and the connections we have and some of the economic growth in places like Guyana on top of that, we certainly expect ARPUs have upside to them. Then there are more mature markets where we don't see a lot of ARPU growth on core connectivity. So, it really depends on the market. And we don't publish right now a stated blend of that.
Greg Burns: And then any update on private networks, your strategy there?
Michael Prior: We continue to make good progress with the product development. We've been working with a lot of key partners that finished testing with sort of key partners that are -- that we think are critical to future opportunity, and we also have been building some exciting pipeline. But at the same time, it's been pretty early innings in terms of revenue and connections. And as you can see from the reports, the cost of funding the platform exceeds that at this point. So, that's why, as we stated last quarter we're continuing to explore our funding partners and other strategic alternatives to take the business to the next level.
Greg Burns: Okay, thank you.
Michael Prior: Sure.
Operator: [Operator Instructions] Your next question comes from the line of Hamed Khorsand of BWS. Your line is open.
Hamed Khorsand: Hi. Good morning. The first question I had was regarding your commentary about the homes passed on the wireless to fixed side. Is that going to be a new strategy for you? Are you going after that retail market? And what kind of investment are you going to do on or put forth as far as being able to capture that customer?
Michael Prior: Yes, it's been part of our strategy, Hamed, but we're seeing expansion of it. We've had seen expansion recently. So, it depends on the situation, but for example, a lot of the Cares Acts build we talked about in previous quarter that we're adding customers to now that was bringing fiber to towers and broadcasting fixed wireless solutions over these rural communities. In that case, a lot of that was in the Navajo Nation. And then connecting people and building the customer base. And so, we have other situations like that, where even in the Cayman Islands, where we are primarily fiber-to-the-home there are communities that are kind of sparsely settled where we bring fiber to the community and then deliver a wireless solution for that high-speed connectivity. So, we just see it as one of the tools in the toolboxes, tool box. We want to connect as many people as we can with high-speed connections. And in some cases, the best way economically and technically to do that is with a wireless solution.
Hamed Khorsand: And then, on the international side, specifically on Guyana, are you seeing growth in that economy just through their expansion? Or is it purely because you're expanding your footprint there?
Michael Prior: I think we are seeing growth in the economy, although, that's not as pronounced, and we definitely see all the signs of economic activity growth in terms of builds and things like that and hotels being permitted and so on. But partly because of, I think of the pandemic, it's been somewhat muted from where we would have expected to see it, and just in terms of speed. There is just a lot of non-communications infrastructure that needs to be built out, and the government has plans around that. And I think that will help, and it will happen, but it's taking some time. So, to some extent, it's been building out new areas. But the government also has a major housing program where they are planning and putting in many tens of thousands of new homes, and we are building into both existing communities and newly built communities. And so, to that extent, there is benefit from, direct benefit from the economic growth.
Hamed Khorsand: And then, last question, on the international side; both Guyana and the rest of the properties you have service in. But are you seeing any increase in competition now that these travel restrictions have rolled back?
Michael Prior: Not really other than things we've spoken about specifically. Definitely in Guyana with the very high predicted economic growth and activity and the change in the licensing rules a year ago, we do expect and are seeing increased competition. We've always planned for that and expected to see it, and we're seeing it. In other markets, it's -- no. I mean with normal competitive environment it's not that there's not competition, but I wouldn't say any fee change to it. And then, of course, in the U.S. Virgin Islands, there is a little bit different with the change out of the program and the new funding going. So, there'll be probably increased competition over a longer period of time there. And while I'm on that, I just want to clarify something we said earlier, just because I'm not sure it came across right, which is that on the USF funding for the Virgin Islands, it went down by a third in the middle of this year, and that under that program, it goes to 0 in the middle of next year. So, it probably goes to -- it drops in -- Sorry, drops in half next year and goes to 0 the year after. So, I almost misstated it. But that's not the only program, and we're not sure that's the end of the inquiry, and we're certainly continuing discussions with respect to the Virgin Islands.
Hamed Khorsand: Thank you.
Michael Prior: Yes, no problem.
Operator: Our next question comes from the line of Rich Prentiss of Raymond James. Your line is open.
Richard Prentiss: A couple of follow-up, we'd have missed if we didn't touch on the supply chain. Are you seeing any supply chain issues with labor or materials? And particularly for the FirstNet project, but also just for fiber in general. We have been hearing some fiber connectors or other items might be tough out there. So, update us on what you're seeing on the supply chain and how you're managing it?
Michael Prior: Well, I think we're definitely seeing that. It's not been material to us overall, but it's significant in some projects in particularly FirstNet.
Justin Benincasa: On the FirstNet, we've got a lot of it under contract. But on sites, we don't -- we -- that are further out in the pipeline, if you will. There's some exposure there on supply chain. So -- 
Michael Prior: And I think the other thing, Rich, and you may know this is it's -- there's really -- there's a couple of different components. One, there is cost of materials and all of the sector has been reporting that in -- from the electronics side to fiber to steel, but it's also -- it delays in procuring. And you hear things both ways in terms of how -- what the outlook is. But right now, it's definitely part of the operating environment and something we have to manage. And then the last area is some of the specialty sort of contracted labor that we would use and would typically flow in through our capital expenditures rather than operating expense, that stuff has gotten harder to secure and more expensive.
Richard Prentiss: And then, second follow-up was on OneWeb and the LEO that you're using in providing some service in Alaska. How should we think about, and obviously, OneWeb has come out of bankruptcy, they have kind of a B2B process maybe where I and other people who to go to the fee side, so you guys being bringing it to the consumer. What kind of margins does that business kind of bring to you given what they're providing you with the LEO network?
Michael Prior: Yes. I don't want to give the exact pricing, Rich, but I can give you a sort of sense on how we think about it. I think we think it's a great -- as I mentioned before, sort of tool in the toolkit, it's a great way to rapidly connect and economically connect some of the more challenged communities to handle for geographic reasons. And in Alaska, our partnership with them is we think is very valuable because they -- that is where they have quite a good coverage and capacity, and we've done a lot of testing, and we're very happy with the solution. And so, definitely, our sort of gross margin on a LEO connection is going to be quite a bit lower than if we connected them with our owned fiber or fixed wireless, but the flipside is the capital cost is much smaller. So, from a free cash flow margin standpoint it's still quite an attractive solution to us.
Richard Prentiss: And I know sometimes the antenna cost for LEO could be expensive. Are you thinking of this from kind of more community settings versus single-family home or schools or businesses? How should we think about what's kind of the addressable market in the target market?
Michael Prior: Yes. I think the addressable market is both of those. I think in some cases, it's a good provision for homes. And -- but a lot of what they are targeting and what we're looking at is also is effectively backhaul. You can use it as backhaul for smaller communities, and be able to provide a high-quality and good capacity. So, it's a mix, but we like their approach. I mean they're -- as you noted they want to do business with the local carriers. And I think it's a -- there's a lot of potential in that partnership.
Richard Prentiss: Could that be a type of -- one of the thing I think, there also be fixed wireless assets kind of component?
Michael Prior: You were a little garbled, but are you saying that -- would we have fixed wireless assets as part of this?
Richard Prentiss: Yes.
Michael Prior: Yes. In some cases, we will. In what I talked about recently, most of it is deployed direct to satellite, but in some cases, yes, we will.
Richard Prentiss: Okay, very good. Thanks for the follow-up, guys.
Michael Prior: Sure.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Justin Benincasa: Thank you, everybody, and we look forward to speaking with you at year-end. Take care.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.